Operator: Good day, ladies and gentlemen, and welcome to the Q3 2018 MagnaChip Semiconductor Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Bruce Entin, Head of Investor Relations. Sir, please go ahead.
Bruce Entin: Thank you for joining us to discuss MagnaChip's financial results for the third quarter ended September 30, 2018. The third quarter earnings release that we filed today after the stock market closed and other releases can be found on the Company’s Investor Relations website. The telephone replay of today’s call will be available shortly after the completion of the call and the webcast will be archived on our website for one year. Access information is provided in the earnings press release. Joining me today are YJ Kim, MagnaChip’s Chief Executive Officer; and Jonathan Kim, our Chief Financial Officer. YJ will begin the call with a discussion of the Company’s recent operating performance. Jonathan will provide an overview of our Q3 financial results, and YJ will provide a brief recap as well as provide financial guidance for the fourth quarter of 2018. There will be a question-and-answer session following today’s prepared remarks. During the course of this conference call, we may make forward-looking statements about MagnaChip’s business outlook and expectations. Our forward-looking statements and all other statements that are not historical facts reflect our beliefs and predictions as of today and therefore subject to risks and uncertainties as described in the Safe Harbor discussion found in our SEC filings. During the call, we will also discuss Non-GAAP financial measures. The Non-GAAP measures are not prepared in accordance with generally accepted accounting principles that are intended to illustrate an alternative measure of MagnaChip’s operating performance that may be useful. A reconciliation of the Non-GAAP financial measures to the most directly comparable GAAP measures can be found in our third quarter earnings release available on our website under the Investor Relations tab at www.magnachip.com. And now, we’ll turn the call over to YJ Kim. YJ?
YJ Kim: Welcome to everyone on the Q3 conference call. Let’s go directly into Q3 results. As a housekeeping note, all numbers and references to financial results reflects as reported results unless otherwise noted. Total revenue of 260 million topped the midpoint of our guidance range and was at the highest level since the fourth quarter of 2012. Revenue increased 16.6% from a year ago, driven by double digit revenue growth in Display and Power. Q3 revenue grew 3.2% from Q2, which was unusually strong and the 12 million above the high-end of the guidance. We’ve stated before that improving profitability is our number one goal, and we continue to show over improvement in Q3. Gross profit dollars, operating income and adjusted EBITDA, all increased by double-digits year-over-year and operating income and adjusted EBITDA grew by double-digit percentages sequentially as well. All those metrics hit their highest levels since Q4 2012. Gross margin in our Standard Products Group set a record in Q3. Gross margin in Foundry declined privately because the increase in foundry revenue was not high enough to offset the reduction in lower margin has to the business that we strategically decide not to pursue as well as an anticipated decline in our legacy 110-nanometer OLED display driver business. As a result of these factors, fab utilization declined. Jonathan would provide more details shortly. Let’s turn now to a summary of all 3 businesses beginning with Power. Power revenue hit on all-time high of nearly 45 million in Q3. Power margin was higher than the corporate average in Q3 as compared to single digits as recently three years ago. We've transformed the Power business over the last three years. We've improved the product mix and portfolio, increase revenue and expanded gross profit margin. The results speak for themselves. Power product mix was improved dramatically as a result of a thorough portfolio optimization. Premium products accounted for 45% of total power revenue in Q3 as compared to 39% in Q3 2017 and 35% as recently as 18 months ago. Premium products include IGBTs Power ICs and Super Junction MOSFET and typically are deployed in a wide range of products including industrial and lighting applications. Electric vehicles represent a new and potentially nice market for our next generation premium devices. We have sampled our next generation premium powered product for a key automotive application, and if it passes 10,000 hour qualifications, we expect it to contribute a decent portion of revenue in 3 to 4 years. We have other power products that also drive high volumes and carry attractive margins. Battery protection FET is an example where we have a very large market share and a leading smartphone brand. Another is Power IC based on product targeted to digital signage applications. This 36 channel micro LED drive IC is now in volume production. Increasingly, we are moving towards designing platform solutions where customers can use a portfolio of magnitude products. In a smartphone for instance, our battery fab and DC to DC power converter can work seamlessly alongside our OLED drive display driver and we are working with leading smartphone makers on the sub-PIMIC to go along with it. To sum up, our power business has benefited from a tight supply environment across the industry, but we've also helped create our own success with an optimized product catalog and richer product mix and portfolio under the oversight of new engineering management. As a result of strong demand, our channel inventories have been running consistently lean this year, so we've increased wafer starts for our power products by converting low margin LCD capacity in our internal fabs. As a result, we've been able to raise average selling prices selectively on certain products due to product shortages and allocation. Now let's turn to the Display business beginning with OLED display driver IC. OLED revenue was $58.3 million in Q3 up 232% from the same period a year ago and accounted for 75% of the total display business. OLED revenue was the second highest in our history top only by the 62.2 million we just achieved last quarter. For the first nine months of this year, OLED revenue totaled nearly $155 million putting us in a position to easily surpass our previous record of 161 million in OLED revenue in 2016. During Q3, we won six new OLED designs for smartphone makers in Asia. We also kept out and sampled a fourth 40-nanometer OLED drive IC both our third generation and fourth 40-nanometers drivers enabled 21 by 9 screen ratio and full HD++ resolution. This helped drive new design wins in Q3 and we expect those drivers to contribute revenues during this quarter. Our net total OLED design wins now stands at 36, which includes the addition of all new designs as well as those we subtract when a smartphone model has been phased out. As anticipated, 6 OLED smartphones using our drivers were launched in Q3, giving us a total of 29 since Q3 2017. We are excited about the broad market acceptance about current lineup a leading edge OLED display drivers, but we believe the best is yet to come. Based on where we see the markets going, we believe we're still in the early stages of multi adoption cycles for OLED. Market research from IHS, we certainly forecast a 1.9 CCAR for total worldwide smartphones between 2017 and 2022. However, OLED smartphones, I expect to represent 52% of 1.6 billion units in 2022 up from 24% in 2017. Flexible OLED smartphone, you need to anticipate to rack up a 30% CCAR during the same timeframe. We've already shipped well over 400 million OLED display drivers since 2007. Despite our many advantages, OLED product cycle changing rapidly. That's why we continually refresh our product lines and push the OLED envelope. Our upcoming 28-nanometer OLED display driver is a good example. Back in September, we successfully taped out at test strip to prove out the 28-nanometer process and anticipate will tape out a full chip on schedule in Q4 with customer samples to follow in Q1. This timetable is consistent with what we said on past calls. Based on our knowledge of the market and industry players, we believe our 28-nanometer OLED driver will have the best cost efficiency, the most advanced OLED display capabilities, and the very lowest power consumption. High resolution in our high CPU workloads with embedded artificial intelligence create heat, which lowers system performance, drains the battery insurance the device life. Whoever can solve the issue will have a competitive advantage and this is where MagnaChip power advantage will come into play. Our current OLED line up of drivers competes for low-end smartphones and mid-range smartphones with premium features. Our flexible 28-nanometer driver will have a compelling technical features and best-in-class power to compete for design wins in high-end OLED smartphones including foldable. As a reminder, there's only one smartphone panel technology that enables foldable and that flexible OLED. LCD panels are not flexible and cannot be bent, so they are not a viable solution for foldable or rollable devices. We believe foldables are the future of smartphones and the future maybe close than what you think. Samsung CEO Mobile has gone on record to say that its foldable smartphone could come as soon as 2019 after years of work in R&D labs. Over the last 6 years, 276 patents related to foldable panels we applied for in Korea by Samsung and others with 210 patents filed in the last few years alone. As a result, Korean panel and smartphone makers were pushing to be the leaders in this emerging market. According to IHS, the market for foldable is expected to grow rapidly from 1.4 million units in 2019 to 23 million units for all application between 2019 and 2022. That forecast implies a 155% CCAR in unit shipments and translates to 138% CCAR in display revenue or 2.7 billion in 2022. To sum up on OLED, we have 6 OLED drivers in production, 36 net design wins and 29 smartphones in production. Looking ahead, foldables will have a larger and multiple screens and may require more than one OLED driver. Hence it will be crucial to have lowest power consuming drivers. This is where our 28-nanometer OLED driver primarily will shine over the competition by delivering the lowest power. Now let’s talk briefly about the non-OLED portion of the display business, which accounted for 25% of display in Q3. We began portfolio optimization effort and redirected that business towards higher margin opportunities including automotive applications. In Q2, we want two designs for an automotive center stack display, which is the cars infotainment or navigation console. In Q3, we began volume production and shipments on these parts, and we are continuing to ramp production this quarter. Our long-term goal is to further develop capabilities in automotive where we believe that display requirement will evolve overtime and require OLED drivers. Now turning to foundry. Foundry revenue was 83.9 million in Q3, up 4.3% from the same quarter a year ago. However, down 5.8% year-over-year as an adjusted basis. Our foundry revenue has [Later changed by the Company] fallen short of the growth needed and that we anticipated earlier this year to offset the plan exit in the low margin portion of the LCD business. We are also now experiencing typical seasonal patterns foundry business in Q4 and we have begun to see an inventory correction from certain foundry customers reflecting current macro trends. New product revenue in Q3 represented almost 20% of total foundry business new data base tape outs, one indicator of long-term business trends increase over 40% in Q3 from Q2 for products related to BCD, E2PROM and mixed signal technologies. Nevertheless, we are not satisfied with current foundry results and are evaluating all option to maximize foundry revenue and improve profit margins. With that, I will turn the call over to Jonathan. I will return afterwards to wrap up and provide our business outlook and financial guidance for the fourth quarter. Jonathan?
Jonathan Kim: Thank you, YJ, and welcome to everyone on the call. Our financial performance in Q3 and year-to-date demonstrated our firm commitment to improve profitability over time. Let's review the numbers, gross profit dollars operating income and adjusted EBITDA, all increased by double digit percentages in Q3 from year ago levels, and all were at their highest levels in six years. That was despite headwinds from lower fab utilization, continued wafer price increases and increase in labor costs. Gross profit dollars of $55.7 million and operating income of $18.3 million increased 10.8% and 17.9% respectively from year ago levels. We believe gross margin dollars at a key financial metric with monitoring because revenue growth can drive fall through to operating income, adjusted EBITDA, and cash flows from operations. And that is exactly what happened in Q3 as well as in Q1 and Q2 of this year. As YJ mentioned earlier, revenue of $206 million increased 16.6% from Q3 a year ago. Probably as a result, the incremental fall through from gross profit to operating income in Q3 was $18.3 million as gross margin dollars grew faster than operating expenses. As a comparison, the fall through to operating margin was $13.9 million in Q2 and $7.4 million in Q1 of this year. Adjusted EBITDA in Q3 was $27.9 million or 13.5% of revenue an increase of 12.8% as compared to Q3 a year ago. This closely watched metrics totaled $66.9 million for the first nine months of 2018 up 15.1% from the first nine months of 2017. Let's review the details in each of our business lines. As a reminder, the results we discuss are historical numbers on an as reported basis and reflect year-over-year results unless otherwise noted. Please refer to our published financial tables for the as adjusted historical numbers. Let’s begin to review with our top line. Revenue in the Standard Products Group or SPG was $122 million up 26.8% from Q3 a year ago. The SPG segment accounted for 59% of total revenue in Q3 as compared to 54% a year ago due to double digit growth the revenue from both Power and Display business lines. With the Standard Products Group, revenue of display products totaled $77.6 million up 35.5% from the same period a year ago. OLED revenue which accounted for 75% of the total display business was $58.3 million up 232% from Q3 2017 due to strong demand from smartphone makers in Asia. The non-OLED portion of the display business represented $19.3 million down 51.4% from $39.7 million in the same period a year ago. The decline was a result of a strategic decision to not pursue unattractive low margin LCD business and to reclassify a portion of the non-OLED business as foundry services. Revenue in the power business accounted for 36% of the standard products group as compared to 41% a year ago. Revenue as YJ noted, grew by double digits to $44.5 million due to a strong market demand environment and an increase in revenue from premium products. Gross profit margin in SPG with a record at 28.8% and gross profit dollars totaled $35.2 million, an increase of 36% from $25.9 million in Q3 a year ago. With regards to Power, gross margin has been on an upward trajectory for the past three years. And with regards to OLED, the gross margin for display drivers once again exceeded the corporate average and product mix also improved. The Foundry Services Group accounted for 41% of revenue in Q3 as compared to 46% of revenue in the same period a year ago. Foundry revenue was $83.9 million in Q3 up 4.3% from Q3 a year ago, but down 5.8% as an adjusted basis. Foundry gross margin was 24.4% in Q3 as compared to 30.3% a year ago, and 29.6% on an adjusted basis. Gross profit dollars in foundry were $20.4 million in Q3 as compared to $24.4 million a year ago. Fab utilization declined to the high 80% range in Q3 from the low to mid 90% range in Q3 last year, which contributed to a decline in foundry gross margin. Other contributing factors will continue price increases for raw wafers increased labor costs. To address the wafer price increase issue, we've entered supply agreement -- we've entered into supply agreements and made prepayment to wafer providers, and from time to time, we've opportunistically added wafers to buffer stock inventory. Turning now to operating expenses in Q3, SG&A was $18.6 million, or 9% of revenue as compared to $17.3 million, or 9.8% in Q3 a year ago. The increase was primarily related to increase labor costs including a stock based compensation program that includes performance based incentives designed to better align performance with shareholder value overtime. R&D was $18.9 million or 9.2% of revenue as compared to $17.6 million or 9.9% in Q3 a year ago. The increase of $1.4 million or 7.8% was due primarily to development activities for the new OLED products. Turning now to the balance sheet. Cash was $133.5 million at the end of Q3 2018, as compared to $131.7 million in Q2, 2018 and $128.4 million in Q3, 2017. Accounts receivable totaled $103.2 million, an increase of 21% from $85.6 million in Q2. The increase was related to the timing of payments from certain customers. Inventories in Q3 were $71.5 million, an increase of 24% from Q2, primarily to meet customer demand for certain products and also to secure adequate wafer supply at attractive prices. Accounts payable increased in connection with the increase in inventories in Q3. Capital spending totaled $7.4 million in Q3. We currently expect our capital expenditures in 2018 to be approximately $39 million or $35 million on a normalized basis that excludes the 4.3 million that was fully financed by a third-party related to a water facility arrangement that was disclosed previously in Q2. Our capital expenditures in 2017 were 32.7 million. In summary, key financial metrics moved in the right direction in Q3. Despite headwinds and we continue to see focused on improving profitability. With that, I’ll turn the call back to YJ. YJ?
YJ Kim: Thank you, Jonathan. When we reported Q2 results in July, we presented that OLED revenue with total approximately 120 million for Q2 and Q3 combined. In fact, it came in at 120.5 million, giving us nearly 155 million in OLED revenue through the first nine months of the year. When we close the books on 2018, we report a record year for OLED revenue despite an anticipated seasonal slowdown. OLED revenue in Q4 this year is expect to be the highest ever, the Company has achieved for the fourth quarter. Looking ahead to 2019, we remain confident about our prospects assuming that current market trends hold steady in the Asia smartphone market. Our power product business likewise had strong results in Q3 and year-to-date and the longer term outlook is positive. We’ve transformed the power business from top to bottom and accelerate the pace of new product introduction to stay at the forefront of changing market requirements. Power is at the heart of so much what we do because power is such an important factor in the display and foundry businesses. Foundry revenue growth was dampened by what looks like the early signs of an inventory correction and softening in the wafer demand. Our foundry typically is affected by the seasonal patterns and therefore foundry revenue is expected to be about flattish in Q4. Longer term secular trends in power, display and analog have the potential to be growth catalyst for MagnaChip despite industry cycles and seasonal patterns. We see good opportunities ahead for MagnaChip, which is why we are pleased to announce that we form a newly created position of Chief of Strategic Planning and hired a 33-year semiconductor veteran, JK Min to lead it. Mr. Kin has held Senior Executive Roles as Samsung Semiconductor, Samsung Electronics, Samsung Display and SK Telecom. He has led new business planning teams, R&D operations, and negotiated higher profile strategic alliances, joint venture agreements and merger and acquisition activities. With that, let’s turn now to our forward-looking guidance. For Q4 2018, MagnaChip anticipates revenue in this typical self-seasonal fourth quarter to be in the range of 174 million to 184 million, down sequentially 13.1% at the midpoint of the projected range. The guidance for the fourth quarter compares with 206 million in the third quarter of 2018 and 174.6 million in the fourth quarter of 2017. The revenue guidance reflects an inventory correction from certain foundry customers consistent with current macro trends. Gross profit margin to be in the range of 25% to 27%, this compares to a 27.1% in the third quarter of 2018 and 28.3% in the fourth quarter of 2017. Now, I will turn the call back to Bruce. Bruce?
Bruce Entin: Thank you YJ. So, Michelle, this concludes our prepared remarks. We'd now like to open the call for questions.
Operator: Thank you. [Operator instructions] Our first question comes from the line of Suji De Silva with ROTH Capital. Your line is open. Please go ahead.
Suji De Silva: So, on the -- the trough that the downturn here and the potential trough. Can you talk about the margin of utilization trough level potential here? And what would happen to kind of EBITDA generation through a down cycle as you managed through that?
Jonathan Kim: So, Suji, thanks for your question. So related to the utilization, the anticipated growth in foundry was not the sort of the higher level that we expected. So when we discussed the foundry business, we talked about the trajectory in connection with us looking at the low margin LCD business and walking away from some of that as well as anticipating the backfilling of the 110-nanometer production be moving out of our foundry. So, unfortunately given the current situation, the way that we see foundry business is although going into Q4 [Later changed by the company], it'll be sort of flattish. It is not going as fast as anticipated and therefore it's impacting our utilization. And so, when you look at utilization of course it does impact all of our business lines, but primarily foundry given that there is a higher portion of the fixed costs in the foundry business. So, again going into Q4, the utilization in connection with the foundry revenues not being as high as we expected will impact utilization. And that will also impact gross margin.
YJ Kim: Which is reflected in our current guidance for Q4, Suji.
Suji De Silva: And then switching to the display business OLED here. You talked about six smartphone launched in 3Q '18. What is the near-term pipeline show for launches? Is there a period where there's a transition from the toward the newer 28-nanomter products where the launches would pause or would it be a steady set of launches even perhaps accelerating the next several quarters. Any color on the trajectory would be helpful?
YJ Kim: Yes, I think that's a very good question. So, so far, we have 36 design wins starting Q '17 was the new products. And what we are very excited about is the quality of the new design wins we are getting, so I think it's important to see the results, you're going to see through the market and the product launches with the quality as well as quantity. And I think the 28-nanometer will give us a very good portfolio of very leading edge products whether it's high and flexible to even mid range flexible or non-flexible with the lowest power. So, I think that's going to be very good to have for the next year design cycles.
Suji De Silva: And YJ kind of following up on that with the newer products and form factors craft flexible, should we expect your branded ASP for OLED to perhaps uplift and track up for what a trend kind of flatters through the product cycle with the new products replacing out the old one?
YJ Kim: I think the best way to look at it is the trend wise. Now looking at this near-term but the OLED and the market trend, the market is as I said earlier today that the IS expect the OLED to have more than 52% market share by 2022. So that's a trend there. There will be smartphone is moving from LCE to OLED. Second the other trend is that the more easy going through the flexible OLED. So if you look at that trend over the next 3 years that should have a advantages ASP blend. Now quarter-to-quarter is really depends on the product introduction in the mix. So it could have some up and downs along the quarter. So but the trend wise it should be upwards.
Suji De Silva: And then my last question guys, I mean, I think in the prepared remarks, you talked about foundry and potentially evaluating options for that trial. So something to elaborate on the comments particularly that you've just hired a very senior executive for strategy role, I'd be curious that can you add any color there? Thanks.
YJ Kim: Yes. So what we will do is make sure that that we're going to fill the fab. We will have the best efficiency in the fab the founder business and we will be looking to every way to increase shareholder value and that's what we're going to do. And I think that this new person will bring a lot of experience creativity where he helped to create Samsung semiconductor, especially non-memory this to be much rich. And we want to bring that kind of roadmap to the magnitude because we see a lot of good opportunities ahead.
Operator: And our next question comes from the line of Atif Malik with Citi. Your line is open. Please go ahead.
Atif Malik: A question for Jonathan on the procurement of the wafers, I'm just trying to hear that the market for wafers could be good to start to ease up in terms of pricing. Can you just provide an update on what you see in the market and you're expectation into next year?
Jonathan Kim: Yes. So, currently, we do still see for the raw wafers, pricing continuing to trend upward, but given the current environment, I mean, I think we'll need to continue to monitor that. And then, from our side, I mean, we do filling GIS into long-term agreements, which we think is beneficial for us because we do see the pricing that we get well as more attractive than work out in the market. So, we do see, these currently trending up but I think we'll need to continue to monitor it, given in light of the current market conditions.
Atif Malik: Then and for YJ, can just talk about the pricing premium of flexible over rigid and then rigid versus LCD?
YJ Kim: So, there’s no really fixed to answer, but let me try to give some ranges and some qualitative stuff. So, if you want to compare apples-to-apples, so there is, you want to have the flexible on the same resolution as well as rigid then the premium tend to be about range of two extra more. Now, you go to on -- but today a lot of flexible OLED screen is found in the really high-end. So that’s like QHD plus. And then, you’re talking more than 3X premium. So that’s the kind of the framework.
Atif Malik: Then lastly, can you just talk about the China smartphone market where you have been hearing things being a little bit soft, but I mean you guys have a par cycle in terms of OLED, but just the health of Chinese smartphones this year?
YJ Kim: Yes. So, I mean, we see and we hear from the same market data as you do. And according to that, it seems like the China smartphone market is soft. However, if you look at the, what’s happening is that the -- you have more exposure to that, if you are selling every year bit of LCD to everybody over there. But we are only selling to the OLED product. So I think so far we have not seen the effect of that as the market is trying to move towards be flexible as well as the OLED on the premium phones in China.
Operator: [Operator Instructions] Our next question comes from the line of Rajvindra Gill with Needham and Company. Your line is open. Please go ahead.
Rajvindra Gill: YJ, I was wondering if you could elaborate further on the inventory correction and foundry, you cited some kind of macro softness that’s obviously been happening across a lot of the semiconductor companies, particularly, they’ve been trading weakness in China consumer products in China industrial. I was wondering, if you could kind of provide a perspective from your view on China and do the tariffs have any impact on your products in terms of please indirectly turns in demand?
YJ Kim: So, Raj, it's a very good question. So, obviously, we are looking at the worldwide situation very carefully. We're also looking at some watch on the China. I think the foundry because that the business have more than 75% of revenue outside Korea. So, it tends to have more of the global trend, and since like there is some softness or some caution by the market, therefore, it has some effect on some of the customers, trying to do some inventory correction due to the consciousness for the market. But you know, we have not been directly exposed as a company to the trade war or to the global thing, but I think the foundry nature of business being exposed to more of worldwide customers that may have more being cautious on that segment for us.
Rajvindra Gill: And what do you think will be over with the inventory correction in the foundry business?
YJ Kim: If you really look at the market I mean I think even two months ago, I don't think people had predicted that this is happening. So again I think we have a decent visibility to Q4, a very good visibility to Q4 and some to honor the quarter out. So, again, I think we have to wait to see how the global market turns out and see. And but as far as our roadmap and the design pipeline is concerned, I think all three business are doing well, and we'll have to continue to watch out. And also as I said earlier to earlier that we will do our best to maximize the fab filling in the foundry also without any opportunity manner to fill the fab.
Rajvindra Gill: And Jonathan could you talk about the lead times and channel inventory?
Jonathan Kim: So, I think what you’re alluding to is there is a power channel inventory as in the power business we use know distributors to, to sell, and then that that continues to look green, which I think is a healthy sign. So, that's certainly a good sign for us and we're going to continue to work hard to on the power side as we've done in the past continue to do product portfolio optimization, so that we can maximize profitability.
Rajvindra Gill: And last question. The power business, YJ, has grown a lot, I think last year grew 14% I believe in this year could grow another 10% 12% 13% something in that range. Could you kind of characterize the growth drivers in that particular segment? And how should we think about it in next year?
YJ Kim: Thank you. So let's clarify your comment and question right there. So, you're talking about growth for - premium products of the power. Is that what it was, Raj?
Rajvindra Gill: Yes.
YJ Kim: So, if you look at my earlier remark, currently, the premium products and power is 45%, that has grown from about 35% 18 months ago. So, we are continuing to develop and accelerating the pace of new generation products on the IGBT super junction and the power ICs. Some of the new power IC include the 36 channels to OLED drivers, and we are continued to bring out the next generation battery protection FET, which is the -- even though we don't classify that as a premium product, but it is the same type of a higher margin premium part. So, we are really focused on product like that as well as increasing more content penetration into industrial as well as automotive.
Operator: Thank you. And I'm showing no further questions at this time and I would like to turn the conference back over to Bruce Entin for any closing remarks.
Bruce Entin: Okay, thank you operator. This concludes our third quarter 2018 earnings conference call. Please look for details of our future events on MagnaChip's Investor Relations website. Thanks for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.